Operator: Greetings, and welcome to the voxeljet AG First Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.  I would now like to turn the conference over to your host, Mr. Johannes Pesch, Director of Investor Relations and Business Development for voxeljet. Thank you. You may begin.
Johannes Pesch: Thank you, operator, and good morning, everyone. With me today are Dr. Ingo Ederer, voxeljet's Chief Executive Officer; and Rudi Franz, voxeljet's Chief Financial Officer. Yesterday, after the market closed, voxeljet issued a press release announcing its first quarter financial results for the period ended March 31, 2022. The release as well as the accompanying presentation for this conference call is available in the Investor Relations section of the company's website at voxeljet.com. During our call, we may make certain forward-looking statements about the company's performance, including expectations and results from our current quarter backlog. Such forward-looking statements are not guarantees of future performance, and therefore, one should not place undue reliance upon them. Forward-looking statements are subject to inherent risks and uncertainties that could cause actual results to differ materially from those expected including the risks and uncertainties caused by the current COVID-19 pandemic and the resulting uncertainty in the global economy. For additional information concerning factors that could cause actual results to differ from those discussed in our forward-looking statements, you should refer to the cautionary statements contained in our press release as well as the risk factors contained in the company's filings with the Securities and Exchange Commission.  With that, I would now like to turn the call over to Ingo, Chief Executive Officer of voxeljet.
Ingo Ederer: Thank you, Johannes. Good morning, everyone. Thank you for joining us on our earnings call today. Please let's turn to Slide 4. Our roots reach back to the year 1995 with the first successful dosing of UV resins. In the context of a hidden project, initial 3D printing tests were performed at the Technical University of Munich. I co-founded the company on May 5, 1999 as a spinoff from the University with a clear vision in mind to establish new manufacturing standards. Today, we provide our customers a strategic competitive advantage by upgrading their existing conventional production methods to additive manufacturing solutions. We push technological boundaries and develop new generative processes for the serious production of complex components.  Let's turn to Slide 5, where we describe our technology. In the additive manufacturing market, there are likely more than 10 different technologies, each with its specialized field of application. We use the technology called binder jetting. Binder jetting is especially suited for high-volume manufacturing because of its potential to scale. With our VJET X technology, we are pushing new boundaries. On Slide 6, you can find a high-level overview of our company, including recently achieved milestones. We believe these will help us on our mission to establish new manufacturing standards. On Slide 7, you can see pictures of our production facilities in Germany, the U.S. and China. Let me briefly explain our 2 business segments. In the Services segment, top left side of this slide, we operate our own 3D printers in 3 facilities around the world to offer affordable on-demand access to our technology. The barriers to entry are very low as customers just need to send in the 3D data, and we will print parts for them. That is a great and easy way for our customers to understand new business opportunities in 3D printing. The short sales cycles and services help us balance the typical long sales cycles in our Systems segment. Customers come from various industries, including automotive, aerospace, general engineering as well as art and architecture. In the U.S., one of our largest on-demand printing clients is a supplier to a leading space exploration company. In our Systems segment, we manufacture and sell industrial-grade, high-speed, large-format 3D printing systems geared towards mass production of complex models, molds and direct parts. Systems revenue also includes recurring revenue from the sale of consumables, maintenance contracts, upgrades and other aftersales activities.  Let's turn to Slide 8 and an illustration of the wide range of applications of our technology. We are encouraged by the many discussions that we are having with different players in a broad variety of industries. They are all seriously looking at adopting our technology for well-chosen applications. To give you some examples, there is an innovative yacht company producing several thousands of advanced propellers with our technology. These new propellers have a shape that cannot be made conventionally. Because of this complex shape, the propellers create much less turbulences in water and have, therefore, a substantially improved efficiency. There are leading U.S.-based exploration companies using our technology to make parts of their rockets more aerodynamic. There are carmakers who use our technology to make their vehicles more light-weight and more energy efficient. There is a leading university in Zürich, Switzerland, the ETH using our technology to make the most amazing concrete structures. And there are many, many more. Let's turn to Slide 9 and some thoughts on the additive manufacturing market. As you can see, all of associates projects growth to accelerate over the next years. This growth will be driven by a larger share of sales to manufacturing. I believe we are in an excellent position to capture our fair share of this growing market over the next years because what really differentiates us from the other players in the 3D printing industry is our focus on solutions for manufacturing or industrial production at scale. We have been working with leading industrial OEMs since our foundation. We sold our first 3D printers to BMW and Daimler more than 20 years ago. Our technology has evolved significantly over the last years in terms of speed, accuracy and the degree of automation of the whole process chain. Slide 10 shows our global sales network and production footprint. As you can see, we have reached an established position in all major markets in Europe, USA as well as Asia. We have halted our activities in Russia and Belarus until further notice. Turning to Slide 11. On the left side, we have summarized our USPs. We differentiate ourselves from our competitors by build size, mature, diversity and speed. This leads to a complete set of industrial 3D printers to support critical demanding applications and address the challenges and needs that are most important to our customers. Each model can be used with multiple mature sets. For example, we offer at least 1000 3D printer for the printing of highly accurate sandcasting molds for ceramics or as a plastic polymerization printer. On the bottom right side of the slide, you can see some of our new products. With these new printers, we believe we can increase our total addressable market considerably. We can target new applications within existing customer groups, for example, with VJET X. With high-speed sintering, we can address both new and existing markets, like, for example, audio equipment, automotive interiors and exterior ceilings, gaskets, walls, grippers and other consumer products. Let's start with the formal part of the presentation on Slide 13. I will begin with an overview of the results for the first quarter, Rudi will then provide a more in-depth view of our financials for the first quarter and our outlook for 2022. Following his comments, we will be happy to take your questions. We are off to a good start. We are extremely busy in our on-demand 3D printing segment with revenue up more than 60% year-over-year and absolute gross profit almost tripled. It is great to see that this growth comes from a wide variety of applications, projects for space exploration and yachts in U.S., large orders from the art and architectural sector in Germany, components for cooling of parts in electric vehicles in the UK, and so on. The higher utilization leads to excellent gross margins in this segment of more than 40%. The high utilization also means that each printing shop is fully packed and there is less way. What we have seen in the past is that on-demand printing revenue is a leading indicator for future sales of 3D printers. So this makes us very optimistic for our Systems segment as well. Let's look at the numbers in some more detail. Total revenue for the first quarter this year increased 14% to EUR 4.6 million compared to EUR 4.1 million in the first quarter last year. In Services, our on-demand 3D printing segment, we saw a strong quarter with continued high demand for our products and quarterly revenues grew more than 60% from the first quarter last year. In Systems, we sold 1 printer in the quarter as compared to 2 printers in the first quarter of 2021. As in the previous years, we expect the majority of systems revenue to come in during the second half of the year. Looking at the right side of the slide in gross margins, we are very pleased with high gross profit and gross profit margins in our Services segment of more than 40%. Utilization is key and we had more orders than racking capacity. In Systems, we saw a lower gross margin as a result of product mix. We sold a small printer, which generates lower gross margins and continuous see some challenges when it comes to time for certain electrical components for our printers. And we are working with our suppliers on this topic. Quick update on our principal R&D projects on Slide 14. Over the last weeks, we have made great progress with VJET X in our project with the leading carmaker. We were able to improve the output of good part substantially over the last month. We achieved that by making changes to the post possessing center. These improvements led to significantly improve parts accuracy and process stability and repeatability. With that, the consistency of the whole process has been greatly enhanced. Also, we recently installed a high-tech industrial microwave in our facility in Friedberg. We will use it to further develop the inorganic process and print parts and benchmarks for other customers. We are working full speed on our project with GE Renewable Energy, and there might be an opportunity to speed things up even further through additional funding from the U.S. Congress. We are working on that topic together with our colleagues from GE, we have an excellent network in Washington DC. If we obtain that additional funding, we could, for example, set up a second prototype version of the BFP printer in our Detroit facility in addition to the one being built in Germany. Regarding high-speed sintering. In 2 of the later slides, we have prepared illustrations of what an automated production still could look like with our new high-speed sintering printer. We are very excited about this new printer and the opportunities it opens up in industrial manufacturing. Slide 15 breaks down order backlog by quarter, revenue by geography and operating expenses by category. When looking at revenue by geographic region, we target an even distribution across the 3 regions to hedge against risk from local events. Let's move to Slide 16 and a couple of illustrations of how we see the new HSS printer in our automated production center. There's also a link to a video on the bottom of this slide. We plan to have centralized powder supply, which you can see on the top half of the picture. In the middle part of the figure, you can see the cooling stations, once the printing has completed the job boxes are moved to these stations and are actively cooled down. From there, the boxes move to the unpacking and finishing stations. In these stations, the non-sinter powder materials automatically removed. This used powder can be [received] and filtered and then be added to the process again. We can achieve high recycling rates and lower amount of waste. On Slide 17, you can see some of these steps in more detail.  To sum up the first quarter, excellent growth rates and exciting projects in our on-demand printing segment, typically seasonality in our Systems segment and good progress in key R&D projects. We have a lot to look forward to into the next months and years.  And with that, I would now like to turn the call over to Rudi.
Rudi Franz : Thank you, Ingo, and good morning to everyone. Our aim is to deliver long-term value for our shareholders through attractive growth, stronger margins and optimal developed deployment of capital. Our full attention remains firmly in driving operational execution to deliver these outcomes. We are making good progress with the planned sale and leaseback transaction of our facility in Germany. If everything goes according to plan, we should be able to sign a deal in the next month. We expect proceeds of approximately $30 million from this transaction and plan to use these proceeds to repay debt. At the end of April, I was visiting large customers in India, many of whom purchased our largest printers. I'm delighted about the many discussions that we are having with so many different players from a broad variety of industries and regions. Regarding COVID-19, we continue to work with some special measures in place around isolation, contamination protocols to ensure the safety of our employees and to reduce risk of operational disruption. For the past few weeks, COVID-19 cases have increased in certain areas of the world, and we are monitoring the evolving situation carefully. I will now take you through the financials for our first quarter 2022. After that, we are happy to take your questions.  Turning to Slide 19. Total revenues increased 14.3% to EUR 4.6 million in the first quarter of 2022 as compared to do EUR 4.1 million in last year's first quarter. Revenue from our 3D parts production centers in Germany and the U.S. continues to be strong, and it's great to see that this momentum is carrying on. In our Services segment, the first -- this first quarter is one of the best quarters we had in quite some time in systems, we saw a typical seasonal patterns. And as in previous year, expect to book the majority of revenues in the second half of this year. Gross profit and gross margin in the quarter were EUR 1.6 million and 34.3% compared to EUR 1 million and 25.6% in the first year -- quarter of 2021. Let's break this down. Gross margins in Services almost doubled to 41.7% in the first quarter of 2022 from 23.2% in the first quarter of 2021 as a result of high utilization. This is excellent to see. In Systems, we sold a smaller printer, which generates lower gross margin. The next slide shows our segment reporting for the quarter. On Slide 20, revenues from our Systems segment, which includes revenues from selling 3D printers, consumer working spare parts well as maintenance, decreased 32.1% to EUR 1.4 million for the first quarter of 2022 from EUR 2.1 million for the first quarter of 2021. We sold 1 new printer this quarter compared to 2 new printers in the first quarter of 2021. This type of seasonality is typically to our industry we see a majority of printer sales happening in the second half of the year. Therefore, this call is not representative of the margins we can achieve in our Systems segment. On Slide 21, services revenue increased 63.3% to EUR 3.2 million in the first quarter 2022 compared to EUR 2.0 million in the same quarter of 2021. Services gross profit margin almost doubled to 41% in the first quarter of 2022 from 23.2% in the same quarter 2021. The improvement was driven by strong gross margin contribution from German in the U.S. 3D production centers. Absolute gross profit almost tripled to EUR 1.4 million in this year's first quarter from EUR 0.5 million in the same quarter last year. Looking now to the rest of the income statement on Slide 22. Selling expenses increased to EUR 1.6 million in the first quarter of 2022 from EUR 1.5 million in the same quarter last year. The increase is in line with the increase in revenue and primarily related to higher distribution expenses. Administrative expenses were EUR 1.7 million as compared to EUR 1.5 million in the first quarter of 2021. Keep in mind, we typically have more than EUR 1 million in auditing fees for the year and EUR 0.5 million in legal and consultant fees. Research and development expenses were EUR 1.4 million in the first quarter of 2022 compared to EUR 1.6 million in the same quarter 2021. These expenses are usually driven by individual projects especially through the consumption of material fees the demand of external services and may vary significantly from quarter-to-quarter. Operating loss was EUR 1.1 million in the first quarter 2022 compared to an operating loss of EUR 2.7 million in the comparative period last year. The improvement was mainly due to a positive net impact of quarter-over-quarter changes in other operating expenses and other operating income amounting to EUR 1.2 million. In addition, gross profit improved significantly.  Net loss for the quarter was EUR 0.7 million or EUR 0.10 per ADS compared to a net loss of EUR 8.3 million or EUR 1.51 in the prior year same quarter. Slide 22 shows selected balance sheet items. At March 31, 2022, the company had cash, cash equivalents and short-term investments in bond funds of roughly EUR 20 million. Total debt at March 31, 2022, was approximately EUR 27.4 million. As mentioned in the beginning, we plan to repay all debt with proceeds from the client sale leaseback transaction of our headquarters in Germany. These assets currently part of property decline and equipment and noncurrent assets. The value of real estate has appreciated significantly over the last years in our area, and we estimate a value for the full complex fee of approximately $30 million. Weighted average number of shares outstanding at March 31, 2022, were 7,026,711 ADS. This is also the current number of shares outstanding.  Moving now on to Slide 24 and our financial guidance for full year 2022, which remains unchanged. Revenue for the second quarter of 2022 is expected to be in range of EUR 5 million to EUR 6 million.  And this concludes my remarks. And with that, we will now open the call up for your questions, operator.
Operator: [Operator Instructions] Our first question comes from the line of Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: Great. You mentioned in terms of the VJET X the progress you were able to improve with the output of goods. Can you update us on the business development effort with this automotive client? With these changes, do you have visibility into when they might purchase another batch of printers? Have those discussions began? And if so, anything you can share would be great.
Ingo Ederer: Absolutely. Thank you for this question. So with these improvements, we already see that the customer is helping us with own marketing activities in this field of suppliers. And I think this is probably the more important impact that he forces hopefully then suppliers to invest in that type of technology. And this is something we are looking for because the outlook including the supplier chain is much better than if you just look at the single manufacturer. So yes, we are optimistic that going forward, that we receive further orders, not just from this automaker, but also from the supply chain. It will take a little bit of time to get these orders. Please have in mind that next year is the main foundry show GIFA. We believe that for this point in time that we probably see incoming orders for this technology.
Brian Kinstlinger: Great. And have you started the conversations with those suppliers? Or is it right now the customer that's having the conversations and you'll be having them shortly?
Ingo Ederer: So we are already in contact with most of them, but of course, it's very important that the final customer is talking good about this solution. So that's why we highly appreciate now that they are starting to do so.
Brian Kinstlinger : Great. And then in terms of the GE project, if the federal funding does happen from the U.S., what might the new time line look like? Does that pull it out 6 months? Does it pull up a year? It's a long timeframe right now. So anything details on what that means for the time line would be great.
Ingo Ederer : So actually, it is hard for us for this moment to talk about precisely about the timeline. So we know that there are budgets available for such a project, and we are fighting with GE to get a part or a slice of these budgets. The outlook for this moment is that we may have a start of such a project within this year, in this remaining year. And it will last then at least for 12 months, probably 24 months.
Brian Kinstlinger : Great. And then the higher services demand, what's driving that? Is that 1 customer? Is it several new customers? Just trying to understand it a nice jump up and is that sustainable or will accelerate from here or will it pull back?
Rudi Franz : It's existing customers -- it’s both existing and new customers. But what we see is that existing customers simply order higher volumes. So they really use the technology for production. And what we have seen over the last couple of weeks and months with the supply chain constraints, they really started to think about supply chains and order more in Europe and the U.S., which definitely then has driven the increase in service center activities.
Ingo Ederer : And it's also -- I think it's related to the pandemic. So since the pandemic is almost over, we see a release of budgets also for R&D activities. And this helps also further fueling our channel.
Brian Kinstlinger: That's great. Lastly, with the sale and leaseback, the price -- the sale price is including your market cap, that's just microcaps these days, which is crazy. But do you know what estimated tax you may need to pay on those proceeds. I take it the $30 million, does it -- in U.S. dollars doesn't include that?
Rudi Franz : Can you please repeat your question, Brian? I didn't get it.
Brian Kinstlinger : Yes. Yes, I'm just curious, you mentioned that the proceeds from the sale of your facility and then the leaseback, you'll get $30 million roughly. You pay taxes on that? And if so, what is the estimated tax rate you'll pay on?
Rudi Franz : So the -- because of having a significant carried-forward loss, we will not pay any taxes. That is the current view of our consultants. So we can take this in and can use the proceeds for paying back the debt to EIB and a local bank.
Operator: [Operator Instructions] Our next question comes from the line of Jacob Stephan with Lake Street Capital Markets.
Jacob Stephan : Congrats on the good results this quarter. Maybe just digging into the facilities in the Service segment. What's really been the strongest vertical for you guys? Has it been aerospace, industrial? I'm just trying to get some more color around that.
Ingo Ederer : It is -- interestingly, it is different from region to region. So I would say probably aerospace is very strong in the U.S. And here, general industry and automotive is very strong here in Europe, while we see infrastructure very strong in China.
Jacob Stephan : Okay. And you guys have said that you have new customers are ordering more, higher volumes. Have you seen any of those projects ramping up or maybe tapering off? And how can we think about utilization going forward?
Rudi Franz: Definitely increasing just because of the reasons Ingo mentioned. So what we believe is that the utilization goes up by a higher usage in manufacturing. So for sure, R&D projects drives the growth. But to me, and when I talk to the team and the clients, the higher adoption rate in manufacturing [indiscernible] going forward.
Ingo Ederer: In addition to that, what Rudi said, we see that more and more projects with serial production come in into our Services segment. So one of them we talked in the script here is about this propeller thing, for instance. This is a serial manufacturer of propellers, and they are doing this wire additive to our 3D printing because it's not possible to make it different.
Rudi Franz: If you talk about the....
Ingo Ederer: And we see other similar projects where we have also printing molds in cars, for instance, for metal castings in a similar complexity range, which are hard to make in a different way. And this is good to see that more and more customers are willing to invest in 3D printing as a production method and allowing also their suppliers to work with us on such projects. It's always I risk and win, the question, and it's good to see that the acceptance of this technology takes really place.
Rudi Franz: I think in addition to what Ingo says, certain printers, which we use are now used for I would say 10 years, if you talk about at least per thousand, for example. So as we talk about reliability, this is the main driver in production. People want to use this 24/7, and we have clients operating our equipment 7,000 hours a year, and this is only possible with reliable equipment. And I think when we discuss about technologies from competition, some say, higher output rates, but never talk about reliability. It -- does it happen once a day or is it happen 365 days a year? So -- and I think all this together nowadays helps to increase the utilization in services, increases the sale for new printers and increases as well the acceptance in manufacturing.
Jacob Stephan : Great. That was helpful. Maybe just switching over to backlog, it was up nicely sequentially here. But -- so you guys talked about the component -- the electrical components. We're typically seeing that with a lot of other companies in the industry. But what are you guys doing to mitigate these challenges?
Ingo Ederer: Well, this is a good question. So we -- of course, we are trying to have a longer view on our supplier needs. So we monitor the supply chain very carefully, make longer-looking plans, try to source also differently, means not just through the original supplier but also through other means. Of course, we are not completely off the current problems, but I think we are doing it quite nicely and smart to at least achieve what we have there.
End of Q&A:
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Dr. Ederer for any final comments.
Ingo Ederer: Thank you. It was good seeing many of you again at this week's RAPID Show in Detroit, and thank you for joining today's call. We look forward to speaking with you again in our next earnings call, which we expect to take place in August with the results of the second quarter and 2022. Thank you for this time, and see you then. Bye-bye.
Rudi Franz: Have a good weekend.
Johannes Pesch: Have a good weekend.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.